Operator: Good afternoon, ladies and gentlemen, and thank you for holding. Welcome to Dyadic International's Second Quarter 2018 Financial Results Conference Call. Now, all participants are in a listen-only mode. My name is Jessica and I'll be your conference coordinator today. As a reminder, please note that this call is being recorded. At this point, I would like to introduce your host for today's call, Ping Rawson, Dyadic's Chief Accounting Officer.
Ping Rawson: Thank you, Jessica. Good afternoon everyone and welcome to our second quarter earnings call. A press release with Dyadic's second quarter of 2018 financial results was issued earlier today. The press release together with Dyadic's quarterly report have been posted to Dyadic's website as well as the OTC Markets website. I am joined today by Dyadic's President and Chief Executive Officer, Mark Emalfarb. On today's call, Mark will cover operating highlights and a summary of our research and business development efforts. I will follow with a review of our financial results in more detail. We'll then provide you with an opportunity to ask questions. At this time, I would like to inform you that certain commentary made in this conference call may be considered forward-looking statements, which involve risks and uncertainties and other factors that could cause Dyadic's actual results, performance, scientific or otherwise or achievements to be materially different from any future results, performance or achievements expressed or implied by those forward-looking statements. Dyadic expressly disclaims any intent or obligation to update any forward-looking statements except as required by law. With that, I would turn the call over to Mark. Mark, please go ahead.
Mark Emalfarb: Thank you, Ping. Good afternoon, everyone. Since the beginning of 2018 and during Q2 we've achieved many important research milestones who are third-party collaborations and our own internal research programs. We continue to be encouraged by the progress we are making. Before I get into the details of our Q2 achievements, I want to share with you some pertinent information from a recent speech by FDA Commissioner, Scott Gottlieb. Commissioner Gottlieb noted that less than 2% of American use biologics, but they account for 40% of total spending on prescription drugs. He also highlighted that these biologic drugs represented 70% of the growth in drug spending from 2010 to 2015 and are expected to be the fastest growing segment of drug spending. As a result, the FDA in U.S. ensures to make it a priority to reduce the cost of biologics. According to Gottlieb, the FDA's recent release Biosimilars Action Plan is designed to help make the process for developing biosimilars more efficient. He further indicated that the U.S. is lag behind Europe in approving biosimilars with only 11 approved in the U.S. compared to about 25 in Europe. While the FDA has approved 11 biosimilars till 2018, only 3 are now marketed in the United States. We believe that Dyadic's C1 expression platform has the potential to help achieve to go online by Commissioner Gottlieb to increase competition and develop more biosimilars and/or bio bettors. C1 has the potential to help manufacture biologics rapidly, at lower costs, with potentially new properties, and productivity levels that are far greater especially when compared to Chinese hamster ovary (CHO) cells. CHO cells are commonly used for biomanufacturing many of the most expensive biologic drugs. Our research programs have generated meaningful additional data to support our belief that C1 can be a far more efficient and lower cost biomanufacturing platform than CHO. Recently, C1 has been getting a lot of positive press in industry publications and articles such as Bioprocess International, Phamtec.com, Chemistry in Industry, and the Biospace article that was published just two days ago. Dyadic and more importantly, our C1 gene expression platform continue to gain greater visibility, momentum and interest in the pharma and biotech industry. These articles in various presentations can be accessed via our Dyadic company website at www.dyadic.com. We encourage you to visit our media center and the other links on our website frequently as we post articles, presentations, scientific updates, and other information from time to time. In the second quarter of 2018 our business development efforts have resulted in adding one more research collaboration with another biotech company. Together with the three collaborations that we announced earlier this year, including Mitsubishi Tanabe Pharma, and the Israel Institute for Biological Research have bring the total number of research collaborations to four since the beginning of this year. This new funded proof-of-concept research collaboration is designed to test the feasibility of using C1 technology to produce 7 different molecular biology enzymes which are used as reagents to catalyze a chemical reaction to detect measure of use as a process intermediate to produce a nucleic acid as a therapeutic for diagnostic agent. The total collaboration amount is approximately US$300,000 and the research work will be conducted at both of our CROs in Finland and Spain, and it anticipates to be finished by Q1 2019. We are in various stages of discussions with a number of pharmaceutical and biotech companies, including Top Tier biopharmaceutical companies in an effort to apply C1 for use in both, animal and human health applications which we anticipate will result in additional funded research projects between now and the end of this year. On the R&D front, we continue to achieve impressive results and our program produced positive data from our C1 gene expression platform. I would like to review some of the research milestones we've achieved. We have generated data that clearly indicates C1 can express diverse types of vaccines and therapeutic proteins including monoclonal antibodies, Mabs, Fab, antibody fragments, FC fusion protein, virus-like particles, VLPs, bi-specific antibodies, and antigens at a higher productivity level and other gene expression platforms. However, like other expression hosts, this does not mean that C1 will be able to express all types of proteins but to do so with high enough levels -- but to do so within a timeframe desired by our collaborators. Many of our current collaborations are difficult to express protein. To start with such as the two proteins we are working on in the Mitsubishi Tanabe Pharma research program. It's important to note that based on our previous experience but we've applied additional resources to specific projects in certain instances we've been able to overcome certain gene expression challenges with certain types of difficult-to-express genes. However, there is no guarantee that we can overcome all gene expression challenges, but even if it's possible we can do so within the timeframe set up by our collaborators. We've demonstrated record productivity levels expressing and IgG monoclonal antibody, Mab, as high as 2.4 grams per liter per day or 9 grams per liter in 90 hours in a Fab antibody fragment at 1.9 grams per liter per day. New process and media optimization, we've achieved a 50% C1 fermentation process improvement accompanied by a corresponding drop in the defined media cost. We've also created a C1 protease expression library and improved protein stability and productivity eliminating targeted C1 protease genes. Our glycol-engineering work whose objective is to impart abilities to produce human-like glycol-forms in C1 continues to go well. So far we have not seen any negative effect on the health and growth of the glycol-engineered C1 cells. We expect to have more results to announce at the end of 2018. Under ZAPI program, we continue to optimize the ZAPI antigen and we've reached a high expression level. We expect to have more results to announce next quarter. Under our collaboration program with BDI, Biotechnology Development for Industry, we've begun to evaluate a virus-like particle, VLP, and a basket of therapeutic proteins that are commonly used in the animal and human health markets. These are glycosylated or non-glycosylated proteins including Mabs, Fabs, and bi-specific Mabs, etcetera to determine which of any of these proteins might be potential candidates for future commercialization. The company together would BDI decided to begin evaluating the development of certolizumab, the biological drug component of Cimzia pegol, which is recombinant humanized Fab antibody fragment. Cimzia has approved in the new U.S. for the treatment of rheumatoid arthritis, psoriatic arthritis, Crohn's disease and psoriasis. Additionally, December 2017 a label change for Cimzia was approved in the EU making it the first anti-TNF for potential use in women in chronic rheumatoidic disease during pregnancy and breastfeeding. The current market of Cimzia reached $1.424 million in 2017 or $1.4 billion and has been growing steadily since. We reached the expression level of the antibody fragment certolizumab using C1 as high as 9.12 grams per liter or 1.9 grams per liter per day, and we will continue to develop an increasing the productivity of certolizumab to higher level. In addition, we expect to conduct a variety of comparability and quality analysis with the C1 expressed certolizumab. We are very pleased with our research results to-date, especially with the demonstrated high productivity levels for certain antibodies, the Fab anybody fragment, a FC fusion protein, an antigen, and a secretive virus-like particle that were expressed from C1. In addition to the continued research related to reducing protease background activity in the glyco-generating FC1, we are beginning to put more emphasis on the C1 downstream purification process, as well as a biochemical and bioanalytical characterization of these proteins produced from C1 in order to compare them to the CHO and E.coli expressed counterparts. In addition to selecting the antibody fragment certolizumab is an additional candidate for further development. We also generated additional data on various other classes of proteins within the BDI collaboration such as a secreted virus-like particle, PLP-monomer was expressed by C1 and appears to have been properly assembled to form a 60-mers protein structure. Transmission Electronic Microscopy, TEM, analysis confirmed the correct structure for the VLP. To the best of our knowledge this is the first case which a VLP expressed extracellularly reached such a high level productivity. Our initial attempt to express blinatumomab [ph] a bi-specific drug was successful as the initial lot optimized expression level was 0.6 grams per liter per day or grams per liter or 0.12 grams per liter per day. Blinatumomab is a new type of treatment for leukemia developed by Amgen with a rapidly growing market. The initial expression level of blinatumab is a good start in generating data that we believe to help us to demonstrate the potential C1 be used as a production host for expressing more complex and difficult-to-express drugs such as bispecific antibodies. At our annual shareholder meeting on June 6, 2018, our shareholders approved a proposal to amend Dyadic's restated certificate of incorporation to affect a reversed stock split at a ratio of upto 1:4. This is subject to the company's Board of Directors final determination, if and when it's in the company's best interest to do so. As we indicated in our first quarter conference call, we are taking the steps necessary to become an SEC registered reporting company which we expect to accomplish by the end of this year. And the reverse stock split maybe one of those steps. We believe this action will enable the company to claim more visibility in the market and allow our stock to become a more attractive investment opportunity. On August 6, 2018 the company's Board of Directors authorized an extension of the company's existing stock repurchase program till August 15, 2019. Since August 2017 the company has repurchased approximately US$900,000 of it's common stock under this program leaving you with an additional authorization of around US$4.1 million under the stock repurchase program. The company expects to finance the program from existing cash resources. I will now turn the call back to Ping Rawson, our Chief Accounting Officer, to discuss our financial results.
Ping Rawson: Thank you, Mark. Research and development revenue for the second quarter of 2018 decreased to $161,000 compared to $207,000 for the same period a year ago. Research of development revenue for the six months ended June 30, 2018, increased to $346,000 compared to $329,000 for the same period a year ago. Cost of R&D revenue for the second quarter of 2018 decreased to $129,000 compared to $200,000 for the same period a year ago. Cost of R&D revenue for the six months ended June 30, 2018 decreased to $276,000 compared to $321,000 for the same period a year ago. The changes in revenue and the costs for revenue results from various research collaborations completed in 2017, and the new research collaboration started in 2018. Interest income for the second quarter of 2018 increased to 69.2% to $220,000 compared to $130,000 for the same period a year ago. Interest income for the six months ended June 30, 2018 increased 65% to $406,000 compared to $246,000 for the same period a year ago. The increase in interest income is mainly due to the higher interest rate on our investment grade securities which are classified as held to maturity. Provision for contract losses for the second quarter of 2018 was zero compared to $10,000 for the same period a year ago. Provision for contract losses for the six months ended June 30, 2018 was zero compared to $221,000 for the same period a year ago. The provision for contract losses recorded in 2017 was associated with the company's expanded involvement in the ZAPI program and another research collaborations completed in 2017. Total R&D expenses including related party for the second quarter of 2018 was $942,000 compared to $420,000 for the same period a year ago. Total R&D expenses including related party for the six months ended June 30, 2018 was $1.9 million compared to $739,000 for the same period a year ago. That increase primarily reflects the cost of additional internal research activities with third-party contractor research organizations, personnel related costs, and research and development costs related to the BDI agreement which started in July 2017. General and administrative expenses for the second quarter of 2018 decreased 25.3% to $922,000 compared to $1.2 million for the same period a year ago. The decrease primarily reflects reductions in legal and litigation cost of $137,000, compensation costs associated with our former CFO of $86,000, share-based compensation expenses of $55,000 and other cost reduction of $34,000. G&A expenses for the six months ended June 30, 2018 decreased 26.8% to $2.2 million compared to $3 million for the same period a year ago. The decrease primarily reflects reductions in legal and litigation cost of $699,000, share-based compensation expenses related to stock options granted in 2018 of $146,000 and other costs reductions of $29,000 offset by increases in business development costs of $54,000 and the separation cost net of compensation cost reduction associated with our former CFO of $11,000. Foreign currency exchange gains for the second quarter of 2018 was $15,000 compared to $178,000 for the same period a year ago. Foreign currency exchange gains for the six months ended June 30, 2018 was $10,000 compared to $206,000 for the same period a year ago. The change reflects the reduction in cash balance carried in euro, and the currency fluctuation of the euro in comparison to the U.S. dollar. Net loss for the second quarter of 2018 was $1.6 million or $0.06 per basic and diluted share compared to $1.3 million or $0.05 per basic and diluted share for the same period a year ago. The increase in net loss was primarily due to the higher research and development expenses in 2018. Net loss for the six months ended June 30, 2018 was $3.6 million or $0.13 per basic and diluted share compared to our net income of $0.7 million or $0.03 per basic and diluted share for the same period a year ago. Net income in the six months ended June 30, 2017 was primarily due to the receipt of a litigation settlement of $4.4 million. As of June 30, 2018 there were 28.1 million shares outstanding and 10.9 million shares held in treasury [ph]. This is after the company purchased the 267,000 of shares at a weighted average price of $1.40 per share in the first quarter of 2018. There were no share buybacks in the second quarter of 2018. As of June 30, 2018 cash and cash equivalents were $3.2 million compared to $5.8 million at December 31, 2017. The carrying value of the investment grade securities including interest receivable as of June 30, 2018 was $42.6 million compared to $43.3 million at December 31, 2017. In total, the company had $45.8 million in cash and investment grade security as of June 30, 2018 which equated to approximately $1.63 cash per share. Next, we will provide you with an opportunity to ask questions. Each caller will be allowed one question and one follow-up question to provide all callers an opportunity to participate. If time permits, the operator will allow additional questions from those who have already spoken. Now, I'd like to turn the call back to our operator to take our questions. Jessica?
Operator: [Operator Instructions] Well now take our first question from Richard Deutsch with National Securities.
Richard Deutsch: The company has more cash than the stock it's trading for as Ping just mentioned, but what -- I have an issue with is that the company is giving out options to various people that do deserve options but you're giving options out and at a dilutive level to the actual cash per share, and I find that to be disadvantageous from an accounting point of view and from a shareholder point of view. In addition, the company continues to -- while you're making progress across the vast landscape as you've pointed out -- the company does continue to burn cash and I'd like to know what is the current outlook of your previous statements year and a half ago about ultimately coming to a point where you may return the cash or monetize the company for shareholders that are looking for an exit? I'd like to…
Mark Emalfarb: Well, in terms of the first question, I probably not answer it because to be honest with you, we're very conservative on what we do, and options are given to be people instead of cash because we obviously value the cash, we value the options, we value the equity, and it is what it is but we give out significantly less options I think as a percentage than anyone else. It is a standard practice in the industry, I think we're so far below which is typical in the industry. So I'll not even address the issue because I think it answers itself. Second, overall in terms of the position we haven't changed their position at all, the only difference is we've created more and more value we believe by the data that we've demonstrated through the expression levels of the antibody, of the FC fusion, of the virus-like particle, of the antigen, the four deals we've done this year-to-date; and then the other ones we expect to do in the remainder of this year, in the first half of next year. So we think we're on target on plan to demonstrate value of C1 and to get extra value for that, how much we'll get we'll find out at that time but we're still on the same target of June 30, 2019, looking in the mirror and saying where we're at and where the prices of stock is, where the technology is, what business development deals we have, and how to monetize all this. So we're still on-track. Or actually ahead of track in this time [ph].
Ping Rawson: I just want to add on Mark's comments on the stock-based compensation. Like he mentioned, there is a very common industry practice to compensate executives and the employees with options, and the options are granted at a market value once it was approved by the Board which means if the company or our stocks are not increasing value, the employees and executives will not benefit from the option at all. So you were right in the way of the dilution, however, it's also a mechanism and strategy that the company used in the industry as an incentive to executives and employees. And also if you can see with our valuation we did, the option cost significantly dropped I think last year because of the volatility, because the company's stock is really kind of flat in the past two years, not creating a lot of volatility which means that the cost of option value is a lot less than before, that's why you see that P&L impact actually is a lot less than before. If that helps you with -- if that answers your questions.
Richard Deutsch: Well, it really does answer my question but I find that giving out options below the cash per share value of the company is dilutive to the existing shareholders who have suffered for many many years. And I don't think it's appropriate to give out options below the cash per share levels, and I just want to make that point. So, thank you for answering my questions.
Mark Emalfarb: Well, joining us is Matt Jones, [indiscernible] Business Development lead. Matt, would you like to say anything on the call here before we sign-off?
Unidentified Company Representative: I would draw your attention on the call to the fact that just as here, we've entered into another collaboration and what all these collaborations are affording us is not only the confidence that big pharma, as well as other parties are seeing feedability or proven concept data are getting more and more exciting as we are, but we're also widening the net for the opportunities for which Dyadic can play, we're talking to various different types of parties, all of which as Mark has said -- the thing is, is very carefully controlled. We are very conservative with our dollars, we enter into capital arrangements whereas Mark has also said, we cover a lot of the FTE cost in the non-dilutive way. But I think most importantly, the comment I would just draw the calls attention to is that -- the range of opportunities that C1 for Dyadic is really very exciting and as we've stated previously, both in human and animal health markets, both of huge markets. Within human and animal health we're not just talking about innovative drugs, we're also talking about biosimilars where C1 has a very strong part to play in the future too. And so we are very very pleased to have announced another collaboration and I think that does put us ahead of target in what we were saying previously, we have more to come and I would certainly not say anything as too forward-looking but I would certainly say that the momentum now is -- there is still like a very strong wind in our sails.
Mark Emalfarb: Thanks, Matt. And I think to Matt's point is, the diversity of things that can be produced in C1 we're starting to demonstrate. If you remember, we started out with the BDI project with six or seven different proteins to look at what could we actually express, not even the levels of expression like what would come out. And we've demonstrated a diverse set of proteins coming out at various levels, and so that's for animal health, human health, and the deals we have are in the vaccine space, they are in the therapeutic protein space, they are on the fab space; all the different things we have going -- there is new things happening and we're finding new uses and applications. And if you remember earlier in the year, we even had a metabolite for synthetic biology pathways we're working on that research program which is moving forward as well. And all of this is not only bringing us potential opportunity with those clients, it's providing data to help us get more clients into the net but when we do try to capitalize on this, we have more people that have bid on all our parts of the business in different industries and different applications, just try to figure out how to create the most value for shareholders. In a better [indiscernible] to get, pay more and more pressure on biopharmaceutical industry, get in terms of pricing and reimbursement is all leading to a new cell line to replace CHO at least in part to dominate the space in the long-term, and we're hoping to find somebody out there in the pharmaceutical industry and the biotech industry that has the vision to realize that using C1 can give them a competitive advantage over everyone else, and all the other cell lines. And so we're excited about the data we have, there is still room for more data to come, analytics and bio-analytics, the comparability studies, the downstream recovering studies; but until we had a protein which is certolizumab Fab, it couldn't go, carry on those studies and have any meaning to them. So I would say as Matt pointed out, the wins that are back, the science is moving forward, the technology is advancing, and we're creating value. And at some point between now and maybe 2019, please do expect to bring in a lot more value either in non-exclusive licenses, exclusive license, different fields of avocations, joint ventures collaborations, additional research funding projects, all those things should come into place slowly but surely between now and that day, and then ultimately potentially to -- somebody could potentially like DuPont did -- buyout the company either in one space, or one field or for all. So we're moving forward, we're having great progress, we're excited about what we're seeing, and we're doing this on a reasonable budget, not a typical biotech budget, and includes the options we're giving the employees, and also the money that we're spending; we're doing everything very very carefully here and methodically with an end goal to create shareholder value. And if we don't -- in the meantime, we have a share buyback program, and anybody who wants to take advantage of it feel free and we're happy to buy those shares back under that program.
Operator: [Operator Instructions] We'll go now to Stephen Raphael [ph], a private investor.
Unidentified Analyst: Mark, you just mentioned about exclusive and non-exclusive licenses; that just doesn't work for me. What did you mean by that? It wasn't exclusive or non-exclusive?
Mark Emalfarb: Let me give an example, I'll straighten it out for you. In the industrial biotech business, we signed a non-exclusive license with Admago [ph] Bioenergy for $10 million but it put in the research funding and they put another $5 million non-equity for a license in limited to use of C1 for biofuels. We then signed another license agreement for $10 million non-exclusive, so now there is two people playing in the biofuel space with Shell Oil and Codex's [ph]. We then signed a non-exclusive license with BASF not for that field, for a different field, the industrial enzyme space minus biofuels for $6 million. Those also had milestones and royalties on certain things, and they can bring more revenue. And then DuPont came in and brought the industrial enzyme business and the technology for $75 million. So we generated somewhere in the neighborhood of $110 million at that point by starting out with non-exclusive licenses, and then ultimately somebody stepped up and then decided they wanted the exclusive rights of the industrial biotech space. So we expect here to have the same kind of thing happen, that the variety of companies may decide for animal health, for specific molecules for animal health, it could be broken down into a non-exclusive license for certain field that's broad or that's narrow, it could be a Mab or specific Mab or a specific protein, it could be exclusive or non-exclusive license just for that protein. So there are so many different opportunities to create value with this platform and we're just beginning to demonstrate that value to people, and they're talking to us about what they may want to do with it privately, narrowly, animal health, human health, neither one, metabolites or otherwise. So I hope that clarifies for you. And ultimately, somebody could step up and decide that they want to just keep in the vaccine space or they want to be in the therapeutic protein space. So we've changed it to sell-off truces in two fields or break those down in the seven units and do non-exclusive licenses, and then ultimately, potentially somebody comes in and buys exclusive other than those that already had the non-exclusive rights before them.
Unidentified Analyst: As a follow-up Mark, you mentioned that June '19, it's 10 months from now, that's an important date in terms of the strategy that the company is going to undertake. Can you expand on that?
Mark Emalfarb: Well, I mean there is so many different angles and directions that we're considering and discussions, but I'd rather not get into the specific details but what we're saying there is, we're growing a lot of value at that point one way or another. [Multiple Speakers]. Well, we're moving signs rapidly, we're advancing technology rapidly, we have got ongoing discussions with people that Matt pointed out, the wins at our back, we have more hopefully potential deals coming. So as science advances and yields go higher and we start proving analytics and purification in some of these results, hopefully we will be able to create some value by non-exclusive licenses with upfront fees, taxes fees, milestones and royalties, or in some cases somebody's pharma company may not want to pay royalties and milestones, they just may pay more upfront or we'll see how it all plays out.
Ping Rawson: And just to add on Mark's comments, I think by the June 2019 lot of our internal research at our CROs in Europe will be finished. For example, the glyco-engineering which is a big milestone for our results, so by then we will be able to have more data to prove the potential of C1 for the next step.
Unidentified Analyst: But we have more visibility on all this stuff, so the stats you get over $2 a share, you don't have to reverse split it; and that's really the key here as far as me as an investor is concerned. Because there are so many people that can't touch it, I spoke with you Mark about -- I had some of my stock at Merrill Lynch in one of my accounts, just a few hundred thousand shares and they are telling me that as of the last -- as of July 30, I will not be allowed to purchase any more Dyadic shares at Merrill Lynch, and as of the September 31, I won't be allowed to sell any. I won't be allowed to trade it at all. Now I'd complain just out of sheer anger to the Chief Compliance Officer at Merrill Lynch, and they're going to try to work something out for me. But lots of firms are getting these kinds of calls from the SEC where they are telling major firms that if you're going to allow your clients to trade in the securities, you've got to do due diligence which they don't want to do on 10,000 over the counter stocks [ph]. So, yes, there is liquidity here because the companies they are buying back the stock, but I think there are two key things that need to be done, and you need to uplift and you need to provide as much visibility as possible; maybe get an article in The Wall Street Journal, I mean real visibility, not one of these biology magazines, nobody reads these fucking things. So that's where I'm coming from.
Mark Emalfarb: Well, let me address a couple of things. First of all, people do read those things, they may not be people like you but the Merck's, the Pfizer's, the Top 20 pharmaceutical people are reading those magazines like Bioprocess International. There is a conference coming up here, September 4 to 7, it's one of the biggest conferences for biomanufacturing, we will be there and obviously, we'd be getting an article now, somebody saying like Biospace, people are reading those, maybe not investors. But to your point, as we mentioned, that's why we're now -- if you remember, we going back we decided at the beginning when we sold off the industrial enzyme business to DuPont, if we wanted to take some time and make sure that we could actually produce these antibodies, these proteins, these vaccines -- that we can modify C1 to reach productivity levels that are going to make a difference. And now we're more comfortable that we can see that we can make a difference, and we can actually change the paradigm in a way some of these biologics are developed and produced. And so now based on that information and on the discussions we're having with big pharma, big biotech, small biotech, startup biotech's, animal health, human health and otherwise; and some of the things we're working on and some of the deals we expect to get done with the right people for the right reasons -- we now felt comfortable that now is the time to uplift which is what Ping and her team are doing. And as she mentioned in this call and in the last call, by the end of this year we expect to be -- we're full reporting SEC company, and then obviously, we hope to drive through business deals exposure or otherwise -- I can't get The Wall Street Journal or Barron's or the New York Times to write articles for me on my own, but anyways, we can certainly try and attempt to do that and bring their attention into this gaping hole in healthcare and we can potentially help fill it in bringing access and affordability to patients while reducing the financial burden on the government, it would think they might pick up on it. So we're all over it, we're working on getting more visibility, not only in industry trade journals but we'll reach out to The Wall Street Journal, The New York Times, and L.A. Times, The Chicago Tribune, and go on and on all the time. But more importantly, the business is running on all cylinders, the scientists are doing their jobs, they are running on all cylinders, not everything is rosy and perfect but most things are, and things are moving forward. And hopefully, that's creating value, we expect it will, and we want to unlock it soon as possible or at least partially unlock it to get the share value up, and more cash so that everybody feels a lot better.
Unidentified Analyst: Okay, sounds great. Thanks, Mark.
Mark Emalfarb: All our interests are here in line, and we thank you for that.
Operator: I am showing no further questions at this time. And we'll now turn the call back to Mr. Emalfarb for closing comments.
Mark Emalfarb: Thank you very much, Jessica. As I mentioned earlier, we're seeking to enter into an additional funded research collaborations with Top Tier animal and human biopharmaceutical and biotech companies in an effort to apply C1 in the second half of the year and into 2019. We believe our ability to generate meaningful scientific results coupled with increasing interest in using our C1 technology in various series of animal and human biopharma and biotech industry will position us for continued growth in 2018 and beyond. I want to take this opportunity to thank our very hardworking employees and consultants, a dedicated Board of Directors, our research partners, and our shareholders for their support. Thank you all who have taken part and participated in today's conference call.
Operator: This concludes our program for today. You may all disconnect.